Operator: Good day, and welcome to the Preferred Bank Second Quarter 2025 Earnings Conference Call. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Jeffrey Haas of Financial Profiles. Please go ahead.
Jeffrey Haas: Thank you, Betsy. Hello, everyone, and thank you for joining us to discuss Preferred Bank's financial results for the second quarter ended June 30, 2025. With me today from management are Chairman and CEO, Li Yu; President and Chief Operating Officer, Wellington Chen; Chief Financial Officer, Edward Czajka; Chief Credit Officer, Nick Pi; and Deputy Chief Operating Officer, Johnny Hsu. Management will provide a brief summary of the results, and then we will open up the call to your questions. During the course of this conference call, statements made by management may include forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Such forward-looking statements are based upon specific assumptions that may or may not prove correct. Forward-looking statements are also subject to known and unknown risks, uncertainties and other factors relating to Preferred Bank's operations and business environment, all of which are difficult to predict and many of which are beyond the control of Preferred Bank. For a detailed description of these risks and uncertainties, please refer to the SEC required documents the bank files with the Federal Deposit Insurance Corporation, or FDIC. If any of these uncertainties materialize or any of these assumptions prove incorrect, Preferred Bank's results could differ materially from its expectations as set forth in these statements. Preferred Bank assumes no obligation to update such forward-looking statements. At this time, I'd like to turn the call over to Mr. Li Yu. Please go ahead.
Li Yu: Thank you. I'm very pleased to report that the Preferred Bank's second quarter net income was $32.8 million or $2.52 a share, which is a reasonable improvement from the previous quarter. This quarter, we have a loan growth of roughly 7% on an annualized basis. Early indication in July is that the loan demand seems to have increased; however, to the extent of which is still too early to tell. Our deposits remained flat. Perhaps one of the reason is that we try to control our cost of the deposits. Net interest margin this quarter was 3.85% as compared to the 3.75% reported last quarter. During the quarter, we have continued to buy back our stock in accordance our policy of returning excess capital to our shareholders. However, this quarter's purchase is relatively large in the amount of $56 million, which may have affected net interest income, PPNR and net interest margin a little bit. Second quarter will show good improvement in asset quality. Nonaccrual loans, criticized loans and past due loans all decreased reasonably from the previous quarter, and we believe the trend should continue into the second half of this year. At this time, we have not identified any additional loss contents on these loans. We believe our loan loss reserve is sufficient to cover any exposure. There's still a lot of uncertainty in our economy, the tariffs, the industry and the inflation. I just hope this matter will clear up very soon, so we can have a clearer and better operating environment to work under. Thank you very much, and I'm ready for your questions.
Operator: [Operator Instructions] The first question today comes from Matthew Clark with Piper Sandler.
Matthew Timothy Clark: On the margin, if you had the average margin in the month of June and the cost of deposits as well?
Edward J. Czajka: Yes. Matthew, the margin for June was 3.83%, cost of deposits 3.41%. And as a side note to that, those have been relatively consistent through the quarter. There's not been much change either on the asset yield side or on the cost of deposit side. It's been fairly steady.
Matthew Timothy Clark: Okay. And can you remind us what you have coming due on the CD side and the rate that it's rolling off on and what you're offering currently?
Edward J. Czajka: We have $1.4 billion that's going to roll off in Q3 at a weighted average rate of 4.21%. Current offered rate is right around 4%, maybe a touch above 4% and then some slightly below 4%. So on average, probably just under 4%.
Matthew Timothy Clark: Got it. Okay. And then on the expense side, a little bit higher this quarter with the OREO costs. What are your thoughts on the kind of run rate going forward in the second half?
Edward J. Czajka: Yes. So looking forward, Matthew, we had $22.5 million this quarter. I'm looking at about anywhere from $21.8 million to, say, $22.6 million going out in the next couple of quarters. We did receive some insurance reimbursement on some legal matters related to a nonaccrual loan that was resolved in earlier quarters. So we did have some lightening up on professional services costs. And then, of course, obviously, we wouldn't expect the OREO write-down in future quarters.
Matthew Timothy Clark: Yes. Okay. Great. And then last for me, just on the buyback. It sounds like you bought back $56 million worth in 2Q. But can you also just give us either the number of shares or the price at which you bought it back? And what's left in the remaining authorization?
Li Yu: I think the price right now is higher than we had experienced in the past couple of quarters. So we're continually evaluating the overall situation and would decide on the extent of buyback we'll commit to.
Edward J. Czajka: Yes, Matthew, the $56 million we did was right around $80 a share -- $80, $81 a share on average. At the shareholder meeting in May and we announced that, we got an approval for another $125 million repurchase. We have really not started to execute on that simply because the price per share relative to book value right now is at a much higher spread than it has been. So we're, as Mr. Yu said, being cautious on buying back at a higher...
Operator: The next question comes from Gary Tenner with D.A. Davidson.
Gary Peter Tenner: So I was curious about loan growth. You made the comment that seems to have picked up a bit in July. But just looking at the second quarter growth, obviously a lot stronger than it was in the prior period, particularly in the C&I side and some commercial construction. So wondering if you could provide some color on kind of what occurred there in the second quarter and kind of the pipeline into the third quarter?
Li Yu: Okay. You want to answer the first?
Unknown Executive: Yes. I think that the loan growth, as you can see, the first quarter because of the tariff everything, so our C&I clients kind of held back on a lot of uncertainty in the second quarter. Of course, that's a combination of usage of their line of credit to upsize their business as well as find new customer. So going forward, as Mr. Yu mentioned, it looks like demand is up, but actual is uncertain. You never know. It depends on the market.
Gary Peter Tenner: Okay. And how about on the commercial construction side, is that just a function of -- is that new transactions or just existing commitments funding?
Unknown Executive: Gary, majority of that is existing commitments, I think, loans that were booked earlier are funding as construction progress.
Li Yu: But we do see new -- more new requests, right?
Unknown Executive: Yes.
Gary Peter Tenner: Okay. Appreciate that. And then last thing for me. Just in terms of the $200 million of borrowings that you put into the bond portfolio. It looks like that was pretty well in the mid part of the quarter, just kind of taking a look at the average balance sheet. Any thoughts about doing any more of that in the back half of the year? Is it dependent more on the pace of loan growth? Maybe just talk about the thought process around that.
Edward J. Czajka: No, I think it was just an opportunity that we saw relative to the funding and then the assets that we invested in. Obviously, it's going to dilute the margin a little bit, but obviously increase EPS. And we felt the 10-year was at a very good level, especially from a long-term perspective to put quite a bit of money there. So that's what we ended up doing, and we funded at about 80 basis points cheaper. So...
Operator: The next question comes from Andrew Terrell with Stephens.
Robert Andrew Terrell: I want to go back to the loan growth a little bit. It sounds like July a little bit better, and you obviously had really good growth in the second quarter. Just wanted to hear from you guys maybe your thoughts on competition right now and kind of where new loans are coming on at rate-wise?
Li Yu: Okay. You want to try that, again?
Unknown Executive: I mean we have -- there are lenders out there continue to offer very low fixed rate loans, all that, and that has been consistent. I mean we always compete with the lenders out there in that market. But I think that we are a relationship-driven bank, and we always consistently provide quick and excellent service to our existing customers to help them continue growth. So that's pretty much what we have.
Robert Andrew Terrell: Okay. And then I wanted to ask on the deposit side, just some rotation out of the interest-bearing demand and noninterest-bearing categories this quarter. Anything specific driving that? And maybe just a little more on expectations around deposit growth?
Li Yu: This will be -- our goal is to continue to grow deposits. Obviously, one of the situation -- condition is that we have to keep the cost in control. And we have worked on that for about 4 or 5 months now and it seems to be that it's a reasonable situation. And depending on the funding needs of the loan growth, we may be little more aggressive on the deposits.
Operator: The next question comes from David Fester with Raymond James.
David Pipkin Feaster: I just wanted to maybe start with the -- getting an update on the OREO that you've still got remaining. I'm glad to see one of those nonaccruals get resolved. Obviously, we took the write-down. It sounds like you had a contract that maybe fell through. Just kind of curious your thoughts on the time line for resolution of that? And just anything broadly, credit exclusive of those 2. It seems like it held up really well, but just kind of curious your thoughts on the credit side?
Li Yu: Once in a while in our corporate life, we have some unlucky situation in only one thing, and this is obviously the one. The property started up with very high valuation and has been continuously valued downward. Every time we get into escrow, it seems to be it's automatically fall out in the future. So we obviously want to get rid of that, okay? But we don't want to fire sell it. So we'll continue to try to market it. And when it gets too close to what we want, we get rid of it. So obviously, if a good offer comes in next month, we will be selling it. We thought this thing was resolved about last year, but it's still hanging out there.
David Pipkin Feaster: Okay. So no real updated time line on resolution.
Li Yu: No, nothing.
David Pipkin Feaster: Okay. And then one of the initiatives, I know you guys have been working on, we have the new branch that came online in Manhattan. I was just hoping you could get kind of an update on how things are going there and any other plans for de novos or organic expansion opportunities?
Li Yu: Yes. Manhattan is one of the most promising branch. Right now, they're very vibrant in their loan generation, okay? So we're very happy with the progress they're making so far, okay? And then, yes, there will be new branches open that we will open up our Silicon Valley branch in the second half of the year.
David Pipkin Feaster: Okay. Perfect. And then maybe last one, just kind of following up on some of the commentary you've already made and reading the release, I thought the commentary was pretty encouraging about maybe some of the uncertainty clearing up and increased clarity in the prepared remarks, maybe it sounds like that uncertainty still kind of an overhang. I'm just -- I was hoping you could maybe touch on the pulse of your clients. And just kind of what you're hearing from them? And at what point do you think growth can really start to accelerate?
Li Yu: Well, growth to accelerate is not necessary condition of cleaning up of the uncertainties, okay? We may have the tariff clearing up, but the question is the aftershock effect is not known. Because when the tariff is being levied on other people, there are definitely the suppliers internationally that will not be able to meet the tariff requirement today. And definitely, there will be some shifting and changes in supply chains from geographically or company within that. Because from my knowledge, many of the product that was imported to this country is operating at less than 20% profit margin, total profit margin, okay? So needless to say, if somebody can do that and the market cannot absorb it here, then we're going to have changes. So we're waiting for the results of these things gradually come in. How many is affecting the -- our customers or the market in general, it's still unknown right now. Internally, we are keeping monthly tracking of all the employees -- all the other borrowers that has a supply situation affected by tariff situation. We evaluate monthly, and we're in contact with our customers monthly knowing what their plan is. If you know that every country get their numbers -- the countries get their numbers, not everybody is agreeing to that.
David Pipkin Feaster: Okay. That makes sense. And so don't -- so you're kind of just reading between the lines, don't get too excited about the drawdowns on the C&I line, still a lot of uncertainty?
Li Yu: Yes. We are keeping our eyes very close on that. We are not a big bank. So we have a lot of -- we've very close contacts with our customers.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Mr. Li Yu for any closing remarks.
Li Yu: Thank you so very much. And yes, we hope that we're able to handle the turbulence in the past few months. We certainly feel that we can continue to do that, okay? But we do hope that the overall condition of the economy is clearer. Thank you.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.